Operator: Welcome to Cushman & Wakefield’s Second Quarter 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] It is now my pleasure to introduce Len Texter, Head of Investor Relations, Global Controller and Chief Accounting Officer for Cushman & Wakefield. Mr. Texter, you may begin your conference.
Len Texter: Thank you, and welcome, again to Cushman & Wakefield’s second quarter 2022 earnings conference call. Earlier today, we issued a press release announcing our financial results for the period. This release, along with today’s presentation, can be found on our Investor Relations website at ir.cushmanwakefield.com. Please turn to the page labeled Cautionary Note on Forward-looking Statements. Today’s presentation contains forward-looking statements based on our current forecast and estimates of future events. These statements should be considered estimates only and actual results may differ materially. During today’s call, we will refer to non-GAAP financial measures, as outlined by SEC guidelines. Reconciliations of GAAP to non-GAAP financial measures, definitions of non-GAAP financial measures and other related information are found within the financial tables of our earnings release and appendix of today’s presentation. Also, please note that throughout the presentation comparisons and growth rates are to comparable periods of 2021, and in local currency, unless otherwise stated. For those of you following along with our presentation, we will begin on Page 4. With that, I’d like to turn the call over to our CEO, John Forrester.
John Forrester: Thank you, Len, and thank you to everybody joining our call today. I am pleased to announce another exceptionally strong quarter of earnings. We posted record results for the second quarter, reporting fee revenue of $1.9 billion and adjusted EBITDA of $263 million, reflecting year-over-year growth of 21% and 23% respectively. Over the last 12 months, we have now delivered 27% revenue growth, adjusted EBITDA growth of 64% and margin expansion of approximately 315 basis points. The strength of our comprehensive, diverse and resilient global service offering is evident in our performance and highlights the progress we have made in our multi-year strategy of prioritizing investment in the long-term growth sectors of our industry. Our focus to grow our Company, create value and generate strong performance is unwavering, and our performance this quarter reflected it. In terms of service line performance, recurring revenues in our Property, Facility and Project Management service line continue to generate very pleasing growth from both occupier and investor clients, increasing 16% in the second quarter year-over-year. These services comprise nearly half of our total fee revenue and, historically, have proven to be increasingly resilient through times of volatility. In fact, we’ve seen clients often accelerate strategic decision-making in harsher economic environments. Our Project Management business has also grown significantly, up 45% in the second quarter, versus prior year, as occupiers and investors alike re-evaluate their post-COVID occupancy requirements and sustainability objectives. On our last earnings call, I noted that Project Management, like many of our operations, benefit from client activity, not just incremental changes in the amount of space occupied, and this pickup in activity can be seen in our growth. In addition, our global occupier outsourcing platform continues to win mandates of increasing scale as clients turn to Cushman & Wakefield to help reduce costs and drive further real estate operating efficiencies within their organizations. Our Leasing business has been strong through the first half. In the office sector, the leasing environment continues to improve steadily. U.S. office-using employment increased by 1.9%, adding 635,000 jobs in the first half. There are now 1 million more office-using workers in the U.S. as of June 2022, than prior to the commencement of the pandemic. And as we know, more jobs over time means more demand for all types of useful space, particularly office. And more broadly, global office leasing activity continues its recovery, as preliminary data shows an increase of 21% in the first half of 2022 over prior year, while about 50% of office markets globally registered positive demand for office space in the first half. Part of this growth and recovery is attributable to the emergence of areas like life sciences, which now represents about 10% of all U.S. leasing. Lastly, within the office sector, we continue to observe other trends consistent with pre-pandemic norms. Specifically, the split of new leases versus short-term renewals and average lease lengths are both reverting back to pre-pandemic levels. The industrial/logistics sector continues to perform strongly given a persistent supply/demand imbalance driven by the secular ramp in e-commerce activity. As of the second quarter, U.S. vacancy rates are at a new record low of 3.1% and rental growth increased 19% year-over-year. Through the first half of the year, the market has absorbed over 236 million square feet, which is broadly in line with the record-setting levels of 2021. At the start of this year, many commentators reflected concerns that the logistics market would face supply shortages. The fact that some high-profile occupiers have pushed space back into the market has provided other active tenants the opportunity to participate. In terms of capital markets fundamentals, capital inflows to the commercial real estate sector remain elevated, given the general attractiveness of real estate assets across multiple sectors, despite rising interest rates. As evidenced by Real Capital Analytics, U.S. transactions volumes were $190 billion, up 17% for the second quarter and above pre-COVID levels. Additionally, Cushman & Wakefield continues to take share, with our transaction volumes rising 116 basis points in the quarter, compared to prior year. Our strategic investments made over recent years in those property sectors, which we believed would benefit from outsize growth are reflected in our strong performance and will continue to drive further value for our clients and shareholders. We are capitalizing on the growth in the U.S. multi-family sector by building an industry-leading multi-family full-service platform, with further opportunity for continued growth globally. The asset class landscape is evolving. According to RCA, multi-family comprised about 45% of the overall U.S. capital transaction volume in the quarter. While our business continues to perform with deep-rooted momentum, we have at least not yet seen material evidence of change in client behavior. However, we are monitoring the changing macroeconomic environment and growing uncertainty closely. While there are areas within our industry that may be impacted by economic volatility, we continue to see strength across the fundamentals of our portfolio. In addition, I would reiterate that we continue to build our capabilities and scale in key sectors where expansion is anticipated despite the potential of a more difficult economic environment ahead, areas such as life sciences, biotechnology and data centers. This all positions Cushman & Wakefield better than at any time in our history, regardless of economic environment. In addition, our exceptional leaders and dedicated teams in the field continue to deliver exceptional service every day to our clients around the world. I would like to highlight a couple of examples that illustrate both our leadership in the industry, but also the exceptional performance of our teams. Cushman & Wakefield is among the first group of companies to have its net zero target approved through the SBTi’s recently launched Net-Zero Corporate Standard, the world’s first framework for corporate net zero target setting in line with climate science. This is an important progression of our longstanding commitment to sustainability and our journey to take bold action for the future of our firm, our industry and society. Our European, Middle East and Africa Operations have long been a center of excellence and leadership in the many diverse and unique markets found in the region, but I’m particularly pleased to congratulate our talented leaders in their discipline and focus, which has resulted in our business achieving industry-leading earnings and profit margins. Finally, I’d like to touch on our capital allocation framework. We are continuously weighing the most attractive returns to drive shareholder value. Our continuous improvement initiatives, highly accretive M&A record and our talent recruiting capabilities, alongside our strong balance sheet, have positioned us extremely well. We will continue to deploy capital into the most accretive areas as opportunities present themselves, whether that be through service, market expansion or back to our shareholders. We remain confident about the performance of the business and our progress against our strategy in the ever expanding market for our services. With that, I’d like to turn the call to Neil to discuss our financial performance. Neil?
Neil Johnston: Thank you, John, and good afternoon, everyone. Overall, the momentum in our markets continued through the second quarter, and I’m pleased to report that we delivered record results for both the second quarter and the first half of the year. For the second quarter, fee revenue of $1.9 billion grew 21% over prior year, and adjusted EBITDA of $263 million grew 23% over prior year, resulting in an adjusted EBITDA margin of 13.7%. Our margin for the quarter reflects strong revenue growth, particularly in brokerage, and also includes our equity investment in our Greystone joint venture. Partially offsetting these trends was the impact of COVID-related lockdowns in China, as well as our continued focus on balanced investments in our business to support future growth. On a trailing 12-month basis, our margin of 13.9% represents just under 100 basis points of expansion from the end of 2021. Adjusted earnings per share for the quarter was $0.63, an increase of 26% versus prior year. Taking a look at our fee revenue by service line, in the second quarter, Leasing and Capital Markets increased 24% and 33%, respectively. Leasing fee revenue exceeded pre-pandemic levels, increasing 14% over the second quarter of 2019. We continue to see improvement in the Americas office sector, as well as ongoing strength in the industrial/logistics sector, where demand outpaced supply for the seventh quarter in a row. In Capital Markets, despite higher interest rates, investment appetite remains strong with near-record levels of available capital, particularly in the Americas, where all property sectors reported growth. As can be seen in our strong growth this quarter, the investments we have made in fast-growing sectors, like industrial and multi-family continue to be important growth drivers for the business given the long-term secular trends. The performance across our entire PM/FM service offering was again strong this quarter, particularly in our Project and Facilities Management businesses, with PM/FM and Valuation & Other Service lines up 16% and 8%, respectively. Turning to our segment results for the quarter. Americas fee revenue was up 22% year-over-year, driven by strong performance across all service lines. Leasing and Capital Markets improved 31% and 29%, respectively, year-over-year. Total Leasing was above 2019 pre-pandemic levels, while the office sector was generally in line with 2019 pre-pandemic levels for the second quarter. Adjusted EBITDA of $211 million improved $53 million versus prior year, principally due to the performance of our brokerage business and our Greystone joint venture, which performed in line with our expectations for the second quarter. In EMEA, revenue growth of 22% was driven by growth across all service lines. Leasing and Capital Markets grew 21% and 56%, respectively, with broad-based growth across nearly all markets and sectors. We generated adjusted EBITDA of $35 million, up 29%, versus prior year, which reflects strong brokerage activity and continued focus on cost discipline. It is worth pointing out that our EMEA business has performed exceptionally well throughout our strategic realignment and multi-year transformation, growing margins more than 300 basis points over the last 12 months, a testament to the exceptional teams we have in the region. In APAC, revenue growth of 11% was driven by the performance of our PM/FM service line, which grew 22% for the quarter. Partially offsetting this growth were declines in our Leasing business of 15% versus prior year, which was principally driven by the impact of COVID-related lockdowns in China. As a result, adjusted EBITDA was down 40% versus prior year. Moving to our balance sheet. Our financial position remains strong. We ended the second quarter with $1.6 billion of liquidity, consisting of cash on hand of $477 million and availability on our revolving credit facility of $1.1 billion. We had no outstanding borrowings on our revolver. Net leverage was 2.6 times at the end of the second quarter, unchanged from the first quarter. We are well-positioned to continue to fund both operations and investments, and have an active pipeline of investment opportunities which we are constantly evaluating. As John mentioned, we will continue to deploy capital in areas that provide the most accretive returns to our shareholders. In conclusion, we are encouraged with the performance of our entire portfolio for the first half of the year. We have a diverse global business that is capitalizing on secular growth trends. While the first half performance was similar to the momentum we saw last year, we do recognize that we are now balancing a second half of the year with a differing macroeconomic backdrop. Specifically, in Capital Markets, where we expect second half comparisons to be challenging given the performance delivered a year ago. Consistent with our typical practice, we are not providing an update to our full year 2022 guidance. We will revisit after the third quarter. Our business model has proven to be very resilient over an entire cycle and our diversified revenue streams, disciplined cost management and recent investments in growth sectors provide us with greater confidence as we head into this period of economic uncertainty. We believe we are well-positioned to manage through any number of scenarios and continue to deliver value to our clients and our shareholders. With that, I’ll turn the call back to the operator for the Q&A portion of today’s call.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Anthony Paolone with JPMorgan. You may now go ahead.
Anthony Paolone: Thanks, and good afternoon, everyone. Neil, maybe I’ll start with you. I understand not wanting to address guidance until there’s a little more clarity on the fourth quarter, but just looking at the PM/FM business, if we go back to your original guidance there being up, I think mid-single-digits for the year, it’s just been running stronger. I’m just wondering – it’s one of the more stable businesses, a little bit less seasonality, and it’s – what’s keeping that from potentially being stronger than mid-single-digits this year?
Neil Johnston: Anthony, that’s a great question. Certainly, we’ve been exceptionally pleased with the performance of that business through the first half of the year. Some of it is the timing of contracts, as they come into the business, so I’d encourage you to look at a slightly longer run. So, if you look at the last 9 months to 12 months, that still is very strong performance, and we would expect that high momentum to continue as we look through the back half of the year. As you said, it’s resilient to economic conditions, and certainly it’s something we’re very pleased with.
Anthony Paolone: Okay. Then, John, you’ve been in the seat now for a couple quarters. Just curious if you could update us on how you’re thinking about your growth priorities, and any parts of the business that have struck you as needing more or less attention now?
John Forrester: Hi, Tony. Well, I think I said this on the last call, which is, yes, new in the chair, but I’ve sat around the table and been in the room with Neil and Brett on these calls for an awful long time, and been involved with the build of our portfolio. I’m really pleased, most of all, with how the multi-year strategy of the secular lean-in of our investment in resource build is showing up. We’ve always been a very strong, globally-diverse business, more so on the transaction side, going back five years to seven years, but as you touched on in the first question with Neil, the really strong build year-over-year that we’ve seen in our recurring revenue businesses, and really exceptional margin growth in those businesses, is very pleasing. One thing we are keeping an eye on though, is how we go in the second half, and we’ve already begun to do what we do really well here at Cushman & Wakefield, which is be very, very careful about how we use every dollar in the Company, and so for me, that’s where a real heavy focus lies today.
Anthony Paolone: Okay. Does that create a priority in terms of your cash usage between hiring, debt reduction, stock buyback, M&A, anything you can address there?
John Forrester: I think, on the basis you laid out there, three or four areas, it’s exactly how we think about it. We look at each area with a somewhat myopic view. We continue to want to hire into those secular growth areas at weight, at global connectivity. And then the flip side, we’re being very careful on those sectors when there’s less growth. Overall, it’s what drives the portfolio richness and diversity. I mean if we are going to go into any form of downturn globally, I think, as a company, we’re going to go in as a very different business than to any prior downturn, more strongly, much more resilient than before.
Anthony Paolone: Okay, thank you.
Operator: Our next question will come from Chandni Luthra with Goldman Sachs. You may now go ahead.
Chandni Luthra: Hi, good afternoon, and thank you for taking my questions. So I would like to continue with the last question that was just asked. So if we do go into a recession, help us understand what levers do you have to pull and how do you think you are a different company now versus, say, 2020? I completely understand, it was a black swan event, it wasn’t really a traditional recession, but just help us understand what levers do you have to pull in order to manage your cost structure?
John Forrester: Thank you, Chandni, and thank you for the question. If you go back only a short period to late 2019, when we first started talking about the opportunity that we had as an organization to lean into significant cost withdrawal, we said to the markets we’d take upwards of $250 million of fixed long-term costs out of the Company, and we have done that, and we’re still coming to the very back end of that tail of cost out. It’s a big part of our margin story. It’s also a very big part of how we look at, as a management team, running the business. So you’ve got your fixed costs. You’ve got variables, that are still in the market, such as travel, marketing, research, support, all of which we can boil down on a sector-by-sector, location-by-location basis, and ensure that we’re not allowing any part of the business to either be starved of resources for growth, which is critical, as much of our portfolio will continue to grow through a downturn, but also we’ll be very sharp on costs, as we always have been, in any other area which sees less than positive growth. But as a global business, upwards of 54,000 colleagues now, I believe, that’s a large portfolio from which you have many, many levers to pull on costs. And our management team globally – and I can’t overemphasize this enough, our management team globally is highly match fit in this area of management.
Chandni Luthra: Okay. I appreciate that color. And switching gears to the outlook for PM/FM business a little bit, and just thinking about that in the event of a recession, one thing you guys have talked about in the past, in these last two years, has been that cross-selling opportunities have been something that bodes very well. You get these good transactions and then you have opportunities to cross-sell PM/FM within that. How should we think about the outlook for PM/FM in the event of a tougher economic setup?
John Forrester: Well, I think we’re very sure we will continue to have high expectations of growth through whatever economic scenario we see out there, other than something that’s entirely unforeseen. In the prepared remarks, I touched on the reality that in downturns the outsourcing business actually tends to expand pretty strongly, as our client-based insolvency cost shelter, through working with an organization that’s got the scale of a Cushman & Wakefield to take on board their services and drive value. So, again, the portfolio, the diversity of our business is absolutely our strength.
Chandni Luthra: Got it. Thank you very much.
Operator: Our next question will come from Michael Griffin with Citi. You may now go ahead.
Michael Griffin: Thanks. Maybe just to touch on inflation for a second. I’d be curious to see sort of where you’re feeling the effects from inflation sort of most across your business lines, and what’s the best way you’ve found to sort of mitigate the effects.
Neil Johnston: Yes, Michael, great question. Look, inflation, while it does the impact the business, it’s not one of the material factors that drives the business, and the reason is inflation really impacts the PM/FM business most, but the majority of our contracts have inflation adjustments or are contracts that are cost-plus. And so while inflation is certainly something we’re watching closely, we don’t see it as a material risk to the business as we go forward.
John Forrester: We’ve been very careful around our employment cost inflation, I think as everybody is being, particularly in the private sectors, but I’d just focus on one additional point. We are not exposed to, say, the real estate development market, the direct development market, where we would be taking on any risk of construction cost inflation, for instance, so that’s not a business that we’re going to have any risk in.
Michael Griffin: Got you. That’s helpful. I appreciate the color on that. Maybe switching gears to the office leasing side of things, your commentary seemed relatively more positive, definitely, compared to sort of what the sentiment’s sort of been in the space of recent. I’m curious if you’re getting a sense of kind of what kind of tenants you’re seeing drive a lot of this demand, if it’s any specific sectors, geographies. Any additional comment there would be helpful.
John Forrester: Delighted to, Michael. I’d start by reiterating something that Brett and I have actually both said on earnings calls, which is we did expect it to be through 2024 before the office market, on a like-for-like basis, came back to pre-pandemic levels. And we still feel we’re right on track for that to occur. So whilst our office revenues are now – sorry, our office-defined revenues are substantially higher than pre-pandemic levels. We’ve seen an expansion within that of what you might call the alternatives, like biotechnology, life sciences, which largely come out of office, are the prior used offices going into that type of use, or defined as such within our calculations. So, expansion most certainly in the secular growth areas. And there’s a flow around the world of tech drove the last seven years to eight years. Now, tech’s a little bit on the back foot. Particularly, large tech is a little bit on the back foot. Professional services is growing strongly in the office sector globally. And I think what we’re seeing going back to again a fundamental that I continue to reiterate, it’s not the amount of space that is utilized primarily that drives our revenues, it’s the activity within the sector. And we’re beginning to see this accelerated pickup in activity driven by environmental and sustainable issues. So much of the office stock globally is obsolete and organizations are now highly focused on upgrading the quality of their accommodation, irrespective of the fact they may or may not have a lease event, or a lease expiry in the near-term. So the activity levels are driving the general office sector and high growth coming from the secular growth trend areas.
Michael Griffin: Got you. Thanks, guys. Appreciate the time.
John Forrester: Thank you.
Neil Johnston: Thanks, Michael.
Operator: Our next question will come from Ronald Kamdem with Morgan Stanley. You may now go ahead.
Ronald Kamdem: Great. Just thinking on the office leasing question, if I could ask it a different way, is there a way break it out, whether big, small user, or by sectors, or is it sort of all across the board, the activity that you’re seeing? Thanks.
John Forrester: So Ronald, I’d say there is activity across the board, but between each tier of quality of office, it’s a different type of activity. So core high-class office is performing outstandingly well, not just in the absorption rates globally, but also in true rental growth. Again, I think a lot of that is about the return to the office, a high performing environment, organizations wanting to give their staff something to come back to, as well as the environmental and sustainability focus. And as you get away from that high-quality down to the poorer quality, you’re getting this obsolescence factor coming into the B and C, where ultimately there may be no ready market. So the buildings go into the redevelopment portfolios and become something else. There’s a very agile market out there globally that are repurposing buildings for different uses, and moving away from the traditional office, let’s say, to repurposing them for, whether it’s laboratory space for the life sciences, or even moving into multi-family. The repurposing space is driving the activity in the B and C sectors, certainly the C sector. Does that answer the question?
Ronald Kamdem: Yes, that’s exactly right. That’s really helpful. That’s all I had. Thank you.
Operator: [Operator Instructions] Our next question will come from Stephen Sheldon with William Blair. You may now go ahead.
Pat McIlwee: Hey, good afternoon. This is actually Pat McIlwee on for Stephen. So first of all, the $3 million step-up in interest expense this quarter, I thought was pretty modest given – give or take, $3 billion in floating rate debt. Is there any detail you can provide on your hedging activities there, or any context you can give us as we think about how that might trend?
Neil Johnston: Yes, sure, Pat. We are actually in pretty good shape. So in addition to the senior notes, which are fixed – about 75% of our net debt is actually fixed with interest rate swaps. So only 25% is floating, and so that’s why you’re seeing less of an impact on our interest costs. We feel like we’re in good shape.
Pat McIlwee: Great, okay. And then can you just elaborate a little on what you saw in APAC during the quarter? Obviously, not a huge piece of the business, but fee revenue grew around 11% constant currency, but the regional EBITDA, obviously, took quite a big step back. I’m sure there’s a variety of factors that play there, but just any additional color would be helpful.
John Forrester: Yes, happy to. It’s primarily a mix issue, actually, because we saw strong growth in our PM/FM service line, which drove the top line of APAC really nicely, but where we saw the constrain, which, as Neil said in his prepared remarks, was in the area, on the whole, centered in China, centered in leasing and brokerage relating to, largely, the whole quarter being in one form of lockdown or another. The margin within that is very healthy and, therefore, when that type of business falls away a little bit, the margin is not replaced by simply the type of growth we’ve seen in PM/FM. China’s going to come back. It will be active again, our recurring revenue business will continue to grow, as we’ve said, so, actually, we feel very good about the prospects for APAC, although we’re very sensitive to when the timing of China’s return will actually show up now.
Pat McIlwee: Understood. And then if I could sneak one quick one in here. Can you just provide an update on what your pipelines are looking like in Capital Markets and Leasing?
John Forrester: Okay. I’ll start with Leasing, first of all. Again, the sophistication now of the markets means you have to look at each use class separately, because the dynamics that are driving each use class are different. I’ll start with retail, actually, which is something that’s not been spoken about by us or our peers for quite some time. We’re in our fourth quarter of material revenue growth in retail globally, which signals a real U-turn in that long-term reduction, as physical retail was really put back to the market, primarily. Retail developers, owners and occupiers have found, I think, their way to the future. There’s a keen understanding that retail is going to remain a big part of the shopper experience, and that retail, physical retail, itself, needs upgrading, and that’s a lot of activity for us and our teams around the world in doing that. So, pipeline for retail is growing and looks strong. Industrial, for us, we went into COVID with as much as 65% of our Leasing revenues coming from office. We can certainly see a longer-term mix that’s closer to 50%, or even slightly below, as the strength in industrial and in alternative uses comes through very strongly, and as I said in the prepared remarks, industrial leasing continues based on the secular trend. So we feel good about the pipeline there. The worries of simply there being no real estate to acquire for our tenants isn’t the case as some of the major global platforms put space back to the market. And office, I’ve talked about already. Its – there’s many, many layers to office. Interestingly, this year, we have a relatively high level of lease expiries globally. Only around about 8% of leases come mature every year, so 92% is captive, but we had a lot of leases where the can was kicked down the road over the last two years to three years because of the pandemic and the uncertainty in the office market, so tenants were taking new one-year or two-year leases. So therefore, we’ve got quite a lot of opportunity this year. And I tend to look at that as a positive, because, as I continue to reiterate, it’s the activity in the market. Moving a client from A to B, agreeing a new lease even if it’s on a slightly smaller footprint, they’re all revenue opportunities. So the pipeline in the office market driven by just the transparent level of expiries is relatively good. I’m sure your question went a little bit to Capital Markets, ultimately. And I think for us, looking at our continually strong performance in Capital Markets, to me, it seems that the client behavior, whether that’s buyers or sellers is based on the fact that the headwinds, whether that’s interest rate increases, supply chain issues, inflation, energy costs, all of these headwinds spinning around, they have been well known and understood now for upwards of six months. So the transactions that we’re seeing going ahead tend to be based on strong deals with sophisticated buyers and sellers, and whether there’s a redeployment of capital either by sector or by price point, we do continue to see the market moving forward. So I wouldn’t, to an extent, call it a pause, pause is a very strong word, but I would say is there’s a lot of people being very careful about where they put their capital. And finally, pipeline, it really depends what you’re asking the question of it. Is it about capital available to be deployed or is it about the amount of real estate for sale? Because, when you have a bid/ask spread, which has been mentioned by a number of our peers on their calls this week, it really depends which question you’re asking. So yes, there’s a lot of real estate for sale at the moment, but the buyer market globally is not necessarily aligned with the sale prices. So the pipeline really depends on whether you’re talking about record levels of real estate for sale or still record levels of capital to be deployed, but price to be found.
Pat McIlwee: Right. Okay, well, I apologize for calling that a quick one, but that was really, really helpful, so thank you, John, and thanks, Neil. That’s all for me.
Neil Johnston: Thank you.
Operator: The next question will come from Patrick O’Shaughnessy with Raymond James. You may now go ahead.
David Farnum: Hey, guys. It’s actually David Farnum on for Patrick. I wanted to start with more of a strategic question for John. Cushman’s name keeps getting thrown around as a potential buyer, so maybe, regardless of whether or not these stories have any merit, as currently composed, do you feel that Cushman has the scale you need to achieve the margin targets and the strategic objectives to which you aspire?
John Forrester: David, yes, it’s a good question. It’s something we think about a lot as we consider our deployment of capital. We have – as an organization, we have delivered really, really pleasing results quarter-over-quarter-over-quarter. So I would say that our journey to the types of margins that we’ve been sharing with since the – sharing in the market with since the IPO is well on target, and we have obviously the scale to achieve that. And so strategically, I like the growing nature of our organization, the growing diversity of our portfolio, the growing resilience of our earnings, but I also ultimately see this industry as one which has further consolidation opportunities, large, small and mid-size, globally, and so we want to remain particularly active on the M&A front as we see opportunities to deploy our capital with higher accretive returns than the other uses we might put it to from time to time.
David Farnum: Got it, that’s very helpful.
John Forrester: Does that answer the question?
David Farnum: Yes, that helps. And then maybe switching gears to the WeWork partnership a bit, I was wondering if you could update us on the migration of the facilities management contract for WeWork. I believe that started in the second quarter. Can you speak to how the roll-on of that contract impacted sequential acceleration in the PM/FM line? And then, maybe as a clarification, is that contract fully ramped within the facilities management business, or is that roll-on happening over the next couple quarters? Thanks.
John Forrester: So we don’t talk to specific contracts in the – we mentioned that that was something we were fortunate enough to win through the investment in WeWork last year, but we don’t talk to the specific machinations of each contract. What I would say is that contract was well understood when we looked at the expected performance of our global outsourcing business and FM business this year, and everything is going swimmingly well.
David Farnum: Great. And then just the clarification on is that fully ramped now or is that rolling on over the next couple quarters?
John Forrester: I wouldn’t speak to whether it’s entirely and fully ramped, because it is a progressive ramp, but I’ll check that out and I’ll get back to you.
David Farnum: All right, great. Thank you very much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Forrester for any closing remarks.
John Forrester: Thank you, and thanks to everyone who joined Neil and I on the call today, and also for the questions. We look forward to speaking with you all again in three months’ time. Bye-bye.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.